Steve Foots: Good morning, everyone. Great to see so many of you here at the London Stock Exchange. Welcome to all of you who have joined us virtually as well. I’m here with Anthony Fitzpatrick, our Interim CFO, and we’ll run through – both run through our respective sections of the presentation set out on this slide. And as soon as we’ve done that, we’ll be very happy to take your questions. So it’s been another transitional year for Croda following two exceptionally strong years in ‘21 and ‘22. Sales growth was weaker than we’d hoped, but proactive actions to cost and drive efficiency enabled us to deliver profits in line with expectations. Overall, this performance is still a far cry from where we want to be, and we’ve continued to take further steps to strengthen the business by making Croda more focused and more efficient. So I’ll start with a summary of the results and talk about constant currency changes to give you a better understanding of the underlying trends. Group sales were down 1% or up 2%, excluding the £48 million of covered lipid sales in the prior year. Sales volumes started to recover and increased demand for innovation helped sales of new and protected products to grow by 6%. The adjusted operating margin was down year-on-year with 2023 having benefited from high-margin covered lipids. However, it improved half-on-half, supported by strong operating execution with price discipline and proactive cost control. So overall, whilst PBT was percent lower than last year, it was within our guidance range at £273 million or £260 million on a reported basis. Cash flow remains strong, and we applied working capital discipline and reduced our CapEx after several years of significant investment. The performance across our businesses was mixed. Sales grew 7% in Consumer Care and 2% in Industrial Specialties with higher volumes, partly offset by a lower price. Sales in Life Sciences declined 6%, but we’re back to growth in the second half, excluding carbon net 19 lipid sales and helped by a recovery in crop – crop starting to come back. And as a result, the margin in Life Sciences also increased from 18.3% in the half one to 22.9% in half two. 2025 has started well as you can see with the arrows at the bottom, good revenue growth in all businesses and markets. And I will come to outlook later. But as you can see from these arrows on the bottom of the slide, we expect Consumer Care and Life Sciences to grow this year with Industrial Specialties broadly flat. So turning to the market itself and the environment we’re operating in. It remains subdued throughout the year, but with more stable inventories and demand in most businesses and regions. In Consumer Care, as you can see on the left-hand side, we saw a continuation of the trend we talked about previously with local and regional customers winning share from multinational customers for whom conditions remain more challenging. And you can see that on the left-hand side, as I mentioned, it illustrates the shift in hair and skin markets, the two largest beauty categories. This is good for Croda as our average selling prices are higher to local and regional customers and a reflection of the additional value we add through our formulation expertise and our broader offer. These smaller customers are innovative and fast to market with high quality and competitively priced products, and we’ve responded to shift by leveraging our local footprint and reallocate resource to support these smaller customers in the regions. In Life Sciences, the picture is more mixed. In pharma, consumer health and veterinary markets remain quite challenging, particularly in Europe, whereas biopharma markets have seen more improvement reflected in the performance of our excipients and lipids and more encouraging consensus data for the major biopharma companies as illustrated, as you can see in the middle of the slide. In agriculture, we’ve seen increasingly stable crop commodity prices and that correlated with an improved demand during the second half. Inventory levels are mixed. So it’s too early to say how demand will evolve through 2025, but we are cautiously optimistic. So whilst we’re feeling better about the market environment and trends we’re seeing, we’re not sitting back and simply waiting for these markets to rebound. They will, but we have to – we’re going further with the actions that we’ve talked about last July to drive sales growth, increase our margins and improve returns. So there are five challenges that we are focused on. First, it is clear that our markets are continuing to fragment with local and regional customers continuing to grow. Secondly, we’re seeing renewed customer appetite for innovation, which requires us to reestablish this R&D-intensive relationship post the pandemic with our customers. Thirdly, while more strategic investments we’ve made are performing well, we need to see a bigger contribution to profits. Next, inefficient utilization we made to drag on our margins. And finally, the cost base inflation has been running ahead of revenue delivery. So our cost base needs to be realigned with the current sales. So our ability to address these challenges, whilst prudently managing our invested capital will lead to improved returns. I’ll come back to these priority areas in turn shortly, but let me hand across to Fitz to go through the numbers in detail. Fitz?
Anthony Fitzpatrick: Okay. Thanks, Steve. Good morning, everyone. So, running through a summary of our performance. Sales of £1.6 billion declined by 4% on a reported basis or by 1% at constant currency, with adjusted operating profit down 13% to £280 million. As you will recall, our guidance for full year adjusted profit before tax was £260 million to £280 million at constant currency. We have delivered £260 million on a reported basis equivalent to £273 million at constant currency. So profit performance was in line with guidance. We have modestly increased the dividend by 1p to 110p per share despite lower earnings, reflecting our confidence in the future earnings growth and strong cash performance with free cash flow of £181 million, up over 9%. Bridging from adjusted profit before tax to reported profit before tax at the bottom of the slide, you can see there was a £37 million charge for the amortization of acquired intangibles and exceptional items were a further £15 million charge. Turning to the group’s sales bridge. I’m moving from left to right on the chart. As you will recall, in the fourth quarter of 2023, we shipped around $60 million of COVID-19 lipids, which did not repeat in 2024, equivalent to a 3% headwind to group sales in the year. On average, our raw material basket was 4% lower in 2024, following a 12% reduction in 2023, which enabled us to selectively reduce prices to customers as part of our regain efforts, contributing to the price/mix decline of 5.5%. Despite the volatility over the last 2 years, not least with raw material costs and sales volumes, we’ve remained disciplined on price with our gross margin remaining consistently high and stable above 60%. For 2025, we’re expecting modest raw material cost inflation, meaning the price/mix headwinds that we saw in 2024 are likely to diminish. Volumes were up by 7% with an encouraging performance in Consumer Care and Industrial Specialties and the beginnings of a recovery in Crop Protection in the second half of the year. Along with the modest inorganic contribution from the acquisition of Solus Biotech, which completed in July 2023, constant currency sales were up by 2%. Currency translation was a 3% headwind in the year, leading to an overall reported sales decline of 4%, inclusive of COVID-19 lipid sales. Now looking at sales performance by region. Delivering fast growth in Asia continues to be a strategic priority, and it was encouraging to see growth in a tough environment with sales up by 7% in constant currency. In LatAm, sales were flat, with good growth in Consumer Care, offset by lower sales in crop and pharma. Sales in North America were broadly – were also broadly flat, aided by resilient demand in biopharma. Sales in EMEA were down 6% due to weak demand in Life Sciences, but were flat excluding COVID-19 lipids as the majority of these sales in 2023 were booked in Europe. Now bridging the operating margin from 2023 to 2024. We saw a headwind to margin of 1.3% from the absence of COVID lipid sales as well as the mix impact of F&F continuing to outperform. Bounce back costs, including a return of a variable remuneration charge in 2024 were a further 1.8% headwind. We were, however, able to offset a proportion of these bounce back costs with proactive cost actions, which Steve will talk more about shortly. As a result of continued investment to capture future growth opportunities, investment costs were a headwind of just under 1 percentage point to margin in 2024, although clearly, we are confident these investments will drive future returns. Driven by higher sales volumes, we saw 2.3 percentage points of margin expansion because of these higher activity levels and the effect of volume releverage. Overall, these movements resulted in operating margins moving from 18.9% in 2023 to 17.2% in 2024. At the top end of our 16% to 17% guidance range we gave at the start of the year. The sequential margin improvement shown on the right-hand side from 16.6% in the first half to 17.7% in the second half was encouraging and reflected higher sales volumes as well as these cost actions. Turning to divisional performance. Consumer Care sales of £920 million were up by 4% on a reported basis or by 7% at constant currency. This comprised a 5% reduction in price/mix, an 11% increase in sales volumes and a 1% contribution from the sales of Ceramide following the acquisition of Solus Biotech. Sales to local and regional customers were up by 11% as these customers continue to outperform the market and because our go-to-market model enables us to serve customers of every size. By business unit, F&F was the standout performer, growing by 18% in constant currency, ahead of the underlying market it’s pointed towards. Beauty Actives delivered sales growth of 6% in the year, led by Asia. Beauty Care was flat with growth in all regions at constant currency apart from EMEA. As you can see on the right-hand side callout, lower prices and lower raw materials helped to enable a 9% increase in sales volumes. Encouragingly, our gross margin percentage was up modestly year-on-year, helped by a higher proportion of sales to local and regional customers, which are higher priced. Demand for innovative ingredients as well as ingredients differentiated by sustainability remains strong with NPP sales growing by 11% at constant currency and NPP sales increasing to 43% of total sales in Consumer Care. Moving to Life Sciences. Overall sales of £504 million were down by 16% or by 6% when adjusting for currency translation and prior year contribution from sales of COVID-19 lipids. Pharma sales were down 2% on this basis with lower sales in consumer health and veterinary markets, particularly in Europe, but growth in our strategic focus areas such as lipids for drug research and delivery systems for protein-based drugs. Sales in Crop Protection were down 16% in constant currency, comprising a 31% decline in the first half against a strong 2023 comparator and 6% growth in the second half as we saw volumes start to recover. NPP as a proportion of total sales increased to 31%, with our strategic focus areas in pharma being a higher proportion of sales. Without the higher margin COVID-19 lipid sales in 2024, the operating margin was down year-on-year, but positively, it did increase from 18.3% in the first half to 22.9% in the second half due to higher sales volumes in Crop Protection and again careful cost control actions. Turning to Industrial Specialties. Industrial Specialties plays an important role in our operations, contributing to the efficiency and the profitability of our shared manufacturing sites by leveraging core technologies in high-value industrial markets, and providing volume demand on all shared sites. Sales of £204 million were down 1% on a reported basis, but up by 2% in constant currency, comprising a decline in price/mix of 7% more than offset by volume growth of 9%. While most of our sales in Industrial Specialties are direct to customers, a proportion made through a supply agreement with the purchaser of our divested businesses, and we do not directly control this demand. Encouragingly, direct sales where we do control were up by 5% on a constant currency basis, reflecting our proactive efforts to drive sales. The adjusted operating margin of 7.6% was up by 300 basis points due to favorable price/mix, particularly in the first half as well as higher sales volumes. Turning now to cash flow. Cash generated from operating activities of £319 million was supported by a £21 million inflow of working capital, following payment of the COVID-19 lipids shipped in the fourth quarter of 2023. As you can see in the chart on the right-hand side, we’ve managed our working capital position very carefully with working capital days on hand, reducing from 105 to 94. Capital expenditure of £138 million also reduced, reflecting careful scrutiny of all investment programs. As a result, free cash flow increased from £166 million to £181 million. After accounting for the COVID dividend payments and other cash movements, net cash flow was positive £7 million, with net debt reducing slightly to £532 million. This net debt position translates to a conservative leverage ratio of 1.4x, which is comfortably within our range – guidance range of 1x to 2x adjusted EBITDA. Over the last 5 years, we have invested selectively in projects as a key element of realigning our portfolio in line with the structural growth drivers, strengthening our position as a high value-added ingredients business. As you can see from this slide, you can think of this investment in three parts: capital expenditure in the core business, acquisition and the pharma capital investment program. Our total capital expenditure has been elevated in recent years because of this strategic commitment. However, we would expect CapEx to moderate as assets are commissioned in 2025 with two new greenfield sites and we utilize the capacity we have built. Future capital investment will therefore be highly selective. With the acquisitions of Avanti and Iberchem in 2020, a more recently Solus Biotech in 2023, we’ve also deployed capital on acquisitions to refocus the portfolio. Our priority is now about delivering returns from these investments. And so we would expect any investments in the near term to be limited to complementary next-generation technologies and partnerships. We are also nearing the completion of our pharma investment program, which received both U.S. and UK government support and provides us with the capacity necessary to deliver commercial scale volumes. We are carefully controlling our capital base, contributing to delivering consistent improvements in our returns on capital. To finish up my section, there is some technical factors on this slide, but let me highlight just a couple of these aspects. Firstly, we believe that raw material cost deflation has bottomed out, and we expect a 1% increase in the first quarter. In line with my comments about the recent period of investment – intensive investments, we expect a modest increase in the depreciation charge following CapEx in recent years as well as a small working capital outflow. So, with that, back to you, Steve.
Steve Foots: Many thanks, Fitz. Okay. As I said at the beginning of our performance is not where we want it to be. And I’m going to expand on the actions that we’re taking to address that. There are 3 things that we’re doing to drive sales growth, leveraging our proximity to customers, converting our innovation pipelines whilst continuing to strengthen them and driving further value from recent investments. And these are two actions – there are two actions that underpin the margin recovery, driving higher sales volumes to enhance utilization rates and implementing operational efficiencies to offset inflation and the incremental cost of investments coming online. So through these actions, we will restore earnings and returns to where they should be in Croda. So starting with customer intimacy with local and regional customers. Investing in our footprint to get closer to our customers has been a key part of our strategy over the last 5 years, particularly in the higher growth markets. Consumer needs vary significantly, especially in emerging countries and this has fueled the rise of fast-growing local and regional brands. We are adapting to these changes by increasing our local innovation capabilities and that’s driving growth with the proportion of sales to local and regional customers growing 11% to 80% now of total sales in our Consumer Care business. It’s a simple story – similar story in crop where fragmentation is accelerating, and there are important new players beyond the big 4. Again, you can see that represented in our sales figures with local customers, and the graph in the middle. And our sales are up 7% with these local and regional customers in a very challenging market. So as I’ve said, our prices are normally higher to small customers, because we provide them with additional support. So less concentration in our customer base is creating more opportunities for us in multiple markets at good margins. And in Asia, this remains a very exciting market for us, particularly for Consumer Care, where we are seeing strong growth in key markets such as India, China and South Korea. We’re benefiting from prior year investment in sales and R&D, which has brought us closer to customers there, and we are selectively building manufacturing capacity in those fast-growing countries as well. So in response to ongoing market fragmentation, we are re-imagining the innovation to ensure that we are supporting both local customers and global brands. We have also rejuvenated our interactions with customers, leveraging clever science and R&D to build deeper relationships built on our technical expertise. So this is addressing the gap created in the aftermath of the pandemic when customers were dealing with huge supply chain issues, and we’re focused on marketing existing brands rather than developing new brands. We’ve sustained investment in R&D, increasing research intensity in both Consumer Care and Life Sciences to well above 4% of sales in each, and we’ve seen a big uptick in customer-driven innovation, where we work in close collaboration with them to meet their precise performance requirements. I’ll go after a specific opportunity. And we are launching more new products, which is driving higher NPP. So we will bring more new ingredients to the market in 2025, at than in 2024. You can see that in our stats such as Lucian, a new skin active obtain from Marine Biotech, which gets – reduces your premature skin aging by 5 years in 1 month. So, a few of us – so a few of us might need a bit of that soon, I’m not looking at anybody in particular. But we’re also continuing to expand into adjacent pharma markets. Launching a bioprocessing aid, which significantly reduces the risks associated with biomanufacturing for our customers. So coming on to strategic investments in more detail. And as I said, we’re seeing benefits from much of what we’ve done, but that is not a universal picture, and we need to work harder to ensure investments deliver strong returns. You should see this in 3 buckets. Firstly, core CapEx investment, which Fitz talks about, is focused on fast-growth countries. So for example, our new surfactant plant being commissioned this year in Dahej to meet very strong demand in India. And as Fitz said already, is we’re in the latter stages of a period of intense investment that has taken total CapEx above historic rates of 6% to 8% of sales. We expect it to trend back towards those levels as we utilize the capacity we’ve built and future CapEx will be highly selective. So, next on M&A which saw us acquire Iberchem and Avanti in 2020, followed by Solus Biotech in 2023, as we focused our portfolio on the big structural drivers of growth. We’re very pleased with how our F&F business is performing with sales growth at 17% CAGR, significantly ahead of our competitors. This reflects its strong position with local and regional customers, particularly in emerging markets. We will continue to allocate capital to drive growth in this business, including the construction of a new fragrance facility in China. And we’re very focused on driving Solus Biotech forward to. As we saw with Iberchem, new businesses in Croda always need a year or 2 to start delivering to their true potential, but we have more work to do to ensure the acquisition delivers the growth rate and profit conversion it is capable of. So Solus is now fully embedded into our South Korean operations, and we’re driving the sales of Ceramide and phospholipids through our global selling network, which is generating a great response from customers. We’re also increasing innovation with a new product launched recently to promote Scalp Health taking ceramides traditionally used for skin care into the hair care market. And finally, Avanti, which covered its acquisition cost in record time due to our involvement in the COVID vaccine, but beyond that, sales of lipids for drug research have grown strong double-digit percentage CAGR since 2020. And the third bucket is investment to position pharma for a strong future. a program that has been running since 2021. So as well as establishing the site we acquired in Alabama, as a global center of excellence for lipid development, we’re scaling up production capacity as well with a new multipurpose facility in Lamar and a second scale up site in Europe, both being built with government support. So whilst new mRNA drugs are yet to be commercialized by our customers, we have strong commercial relationships with big pharma companies, who are leading this development and are very well positioned for this breakout growth, which will come. And we are just as focused on growing our margins and therefore, driving a further improvement in utilization in our 11 shared manufacturing assets. These sites are regional production centers and each comprise four or five core processes, principally for Beauty Care, Crop Protection and Industrial Specialties. They account for approximately 70% of group sales volumes and 60% of group sales. And overutilization rate – and overall, utilization rates for these sites may be directionally helpful, but does not provide an accurate picture as the optimum rate varies from one process to the next. So instead, we provided the rolling average of absolute sales volumes at these sites. So you can see the impact of the sale of the majority of our industrial business in June 2022 and the restocking, destocking cycle evident through the pandemic as well as a volume recovery through ‘24. The start of that recovery is very much underway. So if the recovery continues at that current rate, we should be back to pre-pandemic levels within the next 2 years in our facilities. We’re also reviewing the efficiency of our footprint to ensure we strike the right balance between profitability in the short term, providing us with the capacity we need for medium-term growth. So we are driving higher sales volumes, particularly of less differentiated ingredients whilst making sure we maintain our gross margin, that margin that we make on raw materials in our selling prices. This is already having a positive effect, as you can see on the chart, with volumes up 9% year-on-year in both Beauty Care and IS which combined account for about 70% of the volumes at these sites. And of the remaining 30%, Crop Protection is the most important business where we started to see volumes recover in the second half. So as I mentioned, the new organization structure that we implemented at the start of the year has had a big impact on the way that we do business. We are faster and more effective with our customers. And we’ve identified ways to modernize our processes and simplify the way we do things, thereby reducing costs. We’ve created a new center of a business excellence center to share best practice and coordinate work streams that are targeting operational efficiencies across supply chain, operations, distribution and back-office support. Cost disciplines that were established in 2024 are also being embedded to ensure that the benefits are captured permanently. So the near-term benefits of this program are set out on the right-hand side totaling £40 million versus a 2024 baseline, we’re targeting £25 million of savings this year in ‘25, derived pretty equally from payroll costs and other OpEx with a further £15 million of incremental savings in 2026 and more beyond that as we begin to benefit from these modernization initiatives. So the estimated cash cost to realize these benefits totaled around £20 million, which we expect to take his exceptional restructuring charge split across ‘25 and 2026. So finally, coming to the year ahead and what we see as the building blocks of our 2025 profit performance. Firstly, the impact of inflation is expected to represent a headwind of about £10 million in ‘25. Secondly, we continue to invest. We’re a company that wants to invest in assets and OpEx to support our long-term strategy and expect incremental headwinds from additional depreciation and other costs of about £15 million in 2025. Much of this relates to the two greenfield sites I mentioned the new surfactant plant in Dahej in India and a new multipurpose facility in Lamar, Pennsylvania for pharma scale up. Both of those got great growth opportunities for the future. £25 million of operational efficiencies will offset a large proportion of these costs in 2025. And as shown in the final bar, we anticipate growth will further drive profit performance. So in terms of outlook, we expect both Consumer Care and Life Sciences to grow sales in 2025 with continued volume recovery and the price/mix headwinds that we’ve seen are diminishing. So, operational efficiencies should significantly offset inflation and the incremental cost that we expect to incur as I’ve said. So overall, for 2025, we expect group adjusted profit before tax to be between £265 million and £295 million at constant currency. So in summary then, as I said at the start, whilst we’ve seen progress this year, as we continue to emerge from a very unusual period, we’re a long way off from where we want to be, but there is a lot to do in the year ahead, and we are laser focused on restoring profitability, leveraging this great portfolio that sits at the heart of the business. And we will do this by driving sales, by leveraging our proximity to customers and stepping up innovation and maximizing returns from all of those recent investments, driving margins through increased utilization and reducing our cost base and delivering strong earnings growth and improved returns through progress in these areas alongside prudent management of invested capital. So, let me stop there and hand over to you for your questions.
A - David Bishop: Thank you, Steve. Just as a reminder to people joining via the webcast, please type in your question and I will ask it on your behalf. While we prepare the mics for questions in the room, the first question, Steve, is what assumptions are you making for the midpoint of guidance at £280 million PBT?
Steve Foots: Yes. I mean, you can see that. You probably worked it out already, most of you, I think, in the audience. But I mean, mid, the way to look at that is probably mid-single digit revenue growth for the mid guidance with a bit of margin improvement is what we’re probably looking for. And if you look at that at both ends at the bottom end of the guidance is low single-digit revenue growth with probably no margin improvement. At the higher end, it’s probably high single-digit revenue growth with a bit more margin than the mid guidance. And our assumption there is two or three things. The macro environment is not improving. I think we can all see that. But – and it is a book, our markets are starting to stabilize, both in inventory and in demand. So we are starting to see the Consumer Care markets have been there for most of the year, but we’re starting to see a pathway back for crop to a normal environment for Croda. You can see the early signs of that. We would expect gradual improvement to continue through crop. And in pharma, the new pharma part of the business is growing very well. You can see that with. We expect the consumer health part of that in Europe to start to gradually improve as well. So that’s the sort of shape of what we’re looking for from a guidance point of view.
David Bishop: Okay. I think the Charles, the first question, if you could introduce yourselves when you ask the question?
Charles Eden: It’s Charles Eden from UBS. Firstly, on the shared site volumes, thanks to the chart on Slide 25, that was helpful. Can you just comment on what you have seen for this trend in Q1 so far? Is it continued improvement? And then second question, just on pharma and the Avanti asset, obviously, a lot of CapEx investment in that business over the last few years. When are you expecting to see sort of a more meaningful step-up in revenue and profits from that asset, given that level of investment? Thank you.
Anthony Fitzpatrick: Yes. I mean on the volume recovery, I mean it’s early days, and we’ve had a good start January is January. It’s not 12 months of the year. And so we’re encouraged with the start. But we expect in those medium – those targets for the year that we get decent volume growth coming through that and we’re seeing that already. The exit rates in quarter four were helpful to that, and that’s continued in January and February. So – but it’s still too early given the volatility and given them. I think the order book for Croda, as you know, is 4 to 6 weeks’ visibility. So we’re here to guide through the year. It’s not only a few weeks’ time before we chat again in April, and we can give you an update on how quarter 1 looks. So I think it’s not going ahead of ourselves too early. But the gradual improvement should – what we’re seeing is consistent with the guidance. In terms of pharma, I mean, yes, pharma, it’s a great story. All the stats that we see and you probably look at is that there’s more mRNA projects coming forward, increased by – driven largely by about 12 to 15 pharma companies, and we’re very well positioned in a lot of them. I think the way we should look at ‘25 is that you should see that build in the sample revenues that we get. You see that in the Avanti numbers. You would look at that through the year through that lens. We’re encouraged with that. But of course, we’re in a lot of clinical trials. And in many ways, the science has to deliver ahead of Croda. We can put the samples into them. So we’re waiting for a lot of these customers to commercialize their materials. And then if there’s anything significant there, of course, we would communicate that. But I think ‘25 is more about sample revenues through the clinical programs. And then anything materializes other than that, we would talk to you about that. I think later in the year, if we do have Capital Markets Day, which is like we can unpack some of the pharma opportunities in a bit more detail, which is part of the plan.
Steve Foots: Sorry, David, you keep on trying to do your job for you.
David Bishop: Yes, Matthew, just there.
Matthew Yates: Thank you. It’s Matthew Yates from Bank of America. Steve, this sort of process over the last 18 months or so, you’ve maintained the stance that product margins have held up pretty resiliently. Again, you’ve mentioned that in the slides. I guess the problem is we don’t see the gross margins at the divisional level or even business line. So to some extent, we are taking your word for all that. When you say that beauty care had price mix minus 9, how do I reconcile that with the statement that product margins are resilient? That looks to me like you have given away above and beyond just the raw materials and then in the outlook when you talk about prioritizing volume to drive utilization rate, is that also inferring that you are having to give away a bit of price in order to regain some business?
Steve Foots: Yes. Good question. I mean so the way to look at beauty care, you can see it we have tried to shine a light on one of our Fitz’s slides. We are up 9% in volume. We are winning share in volume. And that’s across both the local and regionals and also in the multinationals. And that’s part of the strategy. We have learned – if we have learned one thing in the pandemic, it’s that we have to be a bit more flexible at the bottom end of that beauty care range with price. So, we have given it back and we bought back business that’s rightfully ours. The 9% negative in price, two things, and two-thirds of that is a function of raw material. It’s not a function of competition. So, that minus 5% to 6% is just because raw materials have come down the year before. You can see our big prices. So, you wouldn’t see a gross margin change there. The other 3% there is around really that price point where we have given a little bit back, particularly at the multinationals. But what we see in the mix is as we are supplying more and more to the local and regionals, there is a bigger gross retention percentage that we get in the local and regionals than we do in the multinationals to the tune of about 2 to 3 percentage points. So, moving to local and regionals in the mix is helpful to us. It’s higher sales prices, it’s higher margins. The cost to serve that is higher, of course, but that minus 9% is a combination of those two factors. The margin stability is because of the mix that we are getting. So, we are winning business. We are doing what we said we would do. And we think beauty care is getting back into a rhythm, which we like, and we expect that to continue.
David Bishop: Okay. Sebastian, at the front here.
Sebastian Bray: Thank you. Sebastian Bray of Berenberg Bank. I would have three, please. The first is on agriculture. Has anything changed in the nature of the product mix that is now coming back? In this sense, what reassurance can investors take this is not just a one and done if the ag cycle turns against Croda in 2026. Can you give any idea of your exposure to biologics? My second is on the new pharma investments. Is this a one-way bet on RNA or are the new facilities genuinely multiuse in the sense that they can make excipients for biologicals as well? And my third is on the relationship with Cargill in industrial specialties. My understanding was that there is some type of renegotiation coming off of the tolling volumes that Croda had arranged at the time of the divestment of its old industrials business. Are you optimistic about the potentially extracting higher margins from these renegotiations? Thank you.
Steve Foots: Alright. Well, let me do the first two, I will pass to Fitz, who runs IS by the way. So, he can give you a much better answer than I can. Yes, I mean the ag market, the way to look at that is we expect the – so what we are seeing is we like three months of trend before we – data before we call it a trend, we are seeing that in crops, and we saw that in the second half and evident in our order book as well. So – and when you look in the order book, the product shape is pretty typical of what we would expect, which is our big customers ordering, again, products that they have just had in stock. So, that’s starting to come back. Still too early to call the year, but we are cautiously optimistic, as we mentioned in the presentation. So, we wouldn’t expect a different change. The interesting thing, though, is 75%, when we look at the stats of the big four in R&D, 75% of the R&D activity with the big four fibers in biological actives, which is really quite interesting because they have to move away from toxic herbicides and pesticides, our job from a business-to-business point of view is to move them that way. So, we can get them to use less with our current delivery systems, but we can innovate more with the biological active ingredients with our new systems as well. So, we are pushing them through to this move to biological actives. And then many of you have seen probably in pharma before in liquid injectables and the like and Lonza and everybody, they moved from biological actives 10 years, 15 years ago. So, it’s the crop industry catching up with pharma. So, we are pretty excited about where that technology is going to lead. I think on new pharma, yes, I mean it’s – the mRNA opportunities are in Lamar, if it’s a question about the site and the multipurpose nature of that. They can make – we have built that so they can make lots of different lipids. So, any share perform, don’t forget, Avanti have got 3,000 lipids in their library. They can make 3,000 lipids now. So, if Pfizer or GSK or Sanofi, one of the lipid is 3,000 that they have built. And they have got another 3,000 in their heads, we think, so really brilliant there. So, they have a capacity to tweak things. And that’s what will probably happen. And so we are catering for that in the site, but we can do other things in the site as well. That site can do other things for pharmaceuticals. It can do other things for consumer if we needed it to as well. So, there is flexibility there, but its primary focus is to build out this mRNA train, if you like. And then I think – yes, Fitz, just to comment on the Cargill relationship.
Anthony Fitzpatrick: There is – yes, so we set up a medium-term supply arrangements with them, and that’s working exactly as we designed it. So, I think that’s working well. There is no renegotiation. I think there is a – what you may be referring, we had a – we gave a non-compete undertaking as part of the transaction, which obviously matures at some point during this year. But it’s not a renegotiation of the way that it works with them. The relationship is very good with Cargill. It’s very healthy. We have to work backwards and folds because it does cut across most of our shared sites. What I would say is that while we don’t control their demand, that’s their markets and the markets that they are in. There are some products that we make that they cannot and so the nature of that relationship is very important in both directions. So, we do manage that very carefully, but it’s working very healthily.
David Bishop: Just before we come to other questions in the room, I have got a couple on ag that have come in from Artem from Redburn, who asks, what’s the breakdown of ag demand by customer size and region or what are you anticipating for the year? And also from Allen at Lazard, who wants to understand whether the stronger performance in H2 was influenced by normal seasonality in crop protection and seed enhancement?
Steve Foots: Yes. Well, my comments there about the crop protection business rather than say because seeds agnostic to this cycle. In the seed industry, it’s a service industry. Farmers send their seed in and we co-op that. So, it doesn’t have an inventory issue like crop protection. So, seed is just ticking along in its normal way. I think in crop protection, what you would expect is the multinationals to come back stronger, the top four because the only reason that they are not ordering is because they are set on high stock levels. So, we would expect that to come back. But the interesting thing is when we looked at the next 200 or 300 customers that we have got, it’s been growing quite healthily for Croda, which is our ability to pick up these small customers. These are – particularly the innovative ones in emerging markets and Western countries as well. So, you are seeing that. But the big growth – the order book looking better, general trends improvement, we would look to the big four, of course to strengthen. So, it would be – the mix would be in terms of the strength of that would be – we would expect those top four to come back more strongly. And the second question was more about.
David Bishop: Was there any influence seasonality on the stronger performance in H2 in crop protection?
Steve Foots: No, I mean it’s just a normal. We would say, probably normal seasonality that we would expect. I mean normally, in the crop protection industry, it’s the two big planting seasons for – and for our demand is around March time and October. So, they are the two. So, you would see those two. So, the interesting thing is when we get to April, and we can communicate the planting, the first planting season, get a good understanding of what that looks like.
David Bishop: Yes. So, the recovery was beyond regular seasonality that we saw in the second half of the year.
Steve Foots: But the recovery is a function of as much about stable demand and getting back to normalized inventories than it is about breakout demand growth. It’s about getting back to a normalized area.
David Bishop: Okay. I think the next question in the room came from Lisa.
Lisa De Neve: Hi. Lisa De Neve from Morgan Stanley, I have two. So, the first one is on innovation. I mean you have detailed in your slide deck, you have seen a 50% increase in your customer innovation projects in 2024. I mean can you share in which sub-segments you are seeing that? What type of customers? And also how should we really think about that in terms of actual volume and sales growth? That’s the first one.
Steve Foots: And the second one…?
Lisa De Neve: And the second one is really a bit about your portfolio. I mean if you look at your entire portfolio today, I mean how much would you consider to be high-value ingredients and how much of that do you consider to be less differentiated? And following on from that, bit bold, but how committed are you to all these ingredients being part of your long-term portfolio? Thank you.
Steve Foots: Yes. I mean so there is one on innovation and one on the portfolio. I mean on the innovation, I mean it’s mainly in consumer beauty. So, in many ways, we are in three value chain in beauty, we are in pharma and we are in ag. This is more around Croda adapting in an agile way to reposition some innovation with the small local and regional customers. And that when we look at our innovation stats, that’s the quickest way of winning business because what you are doing is you are personalizing your innovation to individual customers. And those customers are moving quicker. So, they are ramping up quicker. We can see it in the stats in India, China, Korea, some brilliant companies, and they are out with very good products, very good claims, sophisticated targeting in the countries, for the countries and the moving in many ways, ahead of the multinationals. And in a trading down environment as well, they really flourish as well. So, you are seeing that in China, seeing that in America. And we expect that to continue this year. So, we expect the local and regional. So, our customer activity is probably the best way of getting near-term business. So, you should see that coming in over – once you commit to a customer project 6 months to 12 months, you should get business from that. Difficult to say, what it means in absolute sales and volume. So, we can’t give you that answer. But fragmentation is a good thing for Croda in beauty. And when we hear a lot about Croda gets a lot of read across from L'Oreal and Estée Lauder and the multinationals, we understand that, it’s 20% in our business. 80% in our business is all of these flourishing customers that have an environment to really blossom and we are seeing that, we expect that to continue. So, our consumer business is – I think all we mentioned is the innovation is now really pointed towards a lot of that and making sure that we do what we can to intensify the research on them. And in terms of the portfolio, I mean it’s an interesting one. The area that we have learned in the pandemic has really been the area of on differentiation has been the beauty care is £420 million. It’s about £80 million of that, and we have to be more careful and flexible with the price. You start to see that in – we are growing 9% volume. We are winning back business and winning share. So, you will see Croda adapt to that. It shouldn’t have a big impact on margins or profitability because of the mix effect. And in crop care, it’s a pretty similar tail in that. It’s about 20% of their revenue, is in what I would call less differentiated, where that’s really with the top four multinationals. And again, a bit of price flexibility there is needed, but while we are growing the rest. So, it’s just nuances and adjustments commercially to what we need to do. And the rest of the portfolio is, we are very pleased with everything. We just got to grow it. The interesting thing will be, we are one of those companies that have invested quite significantly in the pandemic. And we will get the benefit of that. But while we are doing that, we have to protect our profitability through some cost management, but we are investing. And we think investment is a good thing for Croda. We are investing particularly in not just pharma, but particularly in Asia. And you are seeing that we are actually consciously now starting to move manufacture into Asia. We moved R&D into Asia 5 years, 6 years ago. We think manufacturing now has to follow. So, India, China, Korea, we have got Japan, we have Singapore, we have got an ideal manufacturing footprint now to really capture more growth.
David Bishop: Thanks Steve. So, I am just going to take one from the webcast, and then we will come to run off and then Nicola. So, both Isha at Stifel and Georgina at Goldman Sachs are asking about your comments on volumes at shared manufacturing assets. And they are asking whether they – whether the recovery within the next 2 years also relates to utilization rates at those assets and therefore, to margin recovery.
Steve Foots: Yes. I mean we can both do that. I mean yes, I mean the way we should look at that is we have sort of indexed it on the 100 base from 2019. Utilization rates now are about 69%. So, they are gradually increasing. So, to get to 80%, we think there is two jumps through the next 2 years to get there. That shouldn’t be – margin shouldn’t affect that back to the comments that we had about the sectors. You had a mix effect, and we have got some price flexibility in the undifferentiated of the rage, but net-net, we shouldn’t see a huge difference there. I mean, if anything, the mix should move more to consumer care and life sciences in those sites as we get more growth coming through because that’s what we want overall in the end. And the Cargill volumes ultimately are there for a purpose at the moment. But actually, we could see a day where those Cargill volumes diminish over time because we are using that. We are using the assets for consumer and life sciences. And I think the way to look at that is it’s pushing CapEx out for us because we want to use the assets. We have got capacity in there and we want to free the capacity for consumer and life sciences primarily. But anything else from you, Fitz?
Anthony Fitzpatrick: I think one of the implicit questions as well as where does your margin go, if you get your operating rates back to those sorts of levels that Steve described. And I think the way we think about it is, it’s probably low-20s, if all we do is think about those 11 core sites take us to those low-20s, those sorts of margins. The rest – remember that those sites aren’t all of our costs that are in a proportion of the overall. And therefore, there is a lot of action and mix around the rest of it to how we then drive the rest of it. So, we would imagine if we get back to 80%, we would have a margin around 20% for the overall business.
David Bishop: Okay. Ranulf?
Ranulf Orr: Hi. Ranulf Orr, Citi, sorry, staying on the same theme. I suppose – I am just keen to better understand on how you see that capacity utilization really improving given the volume outlook over the next 2 years in consumer and life science. And the reason I suppose, I feel concerned is that the industrial specialty business is a very large part of the volume. You have seen volume declines of – I don’t have the numbers, but I think above 50% on a 3-year stack in that business, a lot of that volume is not due to come back. So, how does the capacity utilization improve as much as you seem to suggest it will?
Steve Foots: Yes. If you look at underneath in the core markets, beauty care – beauty care and crop, both should continue to deliver healthy volume growth. But then of course, you have got other supporting businesses as well like home care, consumer health. They are all add up together. I think industrial, our industrial business, excluding Cargill, should have volume growth in there as well. But I think the way we should look at it is most of the volume growth certainly, in the next couple of years will be driven by beauty care, crop plus support in volume from these other sub-businesses as well.
Anthony Fitzpatrick: Yes. No, you are absolutely right. So, it’s just the business that we control in industrial specialties is actually growing in volume terms. So, again, it has a role at the sites, but it also provides flexibility for the rest of the growth in consumer care and life science, as we said. So, that part we do control is growing well.
David Bishop: Thank you. Nicola?
Nicola Tang: Hi. It’s Nicola Tang from BNP Paribas Exane. I wanted to ask a bit more about price/mix. It sounds like you are not assuming or it’s less of a headwind than it was last year. But given what you said on expected slight input inflation, at least what you are seeing so far in Q1 and also thinking about the mix element given local and regionals, higher price point for local and regionals in general and also thinking about consumer health and so on coming back. I was wondering why you weren’t expecting more from a price mix perspective through this year. And then the second question, just on M&A, which you highlighted as the second pillar within investment. Could you talk a little bit about priorities and current pipeline? Thanks.
Steve Foots: Yes. Do you want to do the first one? I will do the second one.
Anthony Fitzpatrick: So, on price mix, you will have seen that our sales performance in 2024 saw a negative price mix impact of 5.5%, more than offset by the strong volume recovery. What we have said in the guidance is that, that headwind will diminish. We are very good as a company forecasting quarter-on-quarter movements in raw material costs. And the guidance that we gave in the pack is for Q1 ‘25 sequential versus Q4 ‘24, where we are saying that we are expecting 1% increase in average raw material costs. And just for interest, that’s driven primarily by the bio-based raw materials. If that continues through the year, then obviously, we are looking at a better environment for pricing. Because what the gross margin details that we have given you show is that the model for Croda of passing on those cost increases or decreases in our prices remains strong. So, we may get a bit of a tail from price mix. But at the moment, we have only really got visibility of where raw material costs are going in the first quarter. Mix should continue to be positive. So, within our guidance, we are anticipating that most of the top line growth comes from volume, but there should also be a small contribution from price mix.
Steve Foots: Second question, I mean yes, I mean focus is on those three businesses, amongst others. We are really pleased with F&F. You can see the F&F industry having a great time. In a trading down environment, people use more fragrances. That’s what happens, not just with the big multinationals, but the local ones. And we are benefiting from that as well as the main players. And the position they have in emerging markets is a very strong one. So, they have been capitalizing on that. We have been investing, You might see in the disclosures, we have invested in R&D in grass, significant investment for their business in perfect, which allows us to really target the skin care market, particularly in beauty from French fragrances. And that’s mainly for wet well, more around Asia, Northern Asian markets, big opportunities there. And we have also put investments in China as well. So, that business is ticking along extremely well. We expect that to continue. It’s a good management team, young team, average age in that group, that business is 37 years, 38 years, so very well positioned. If you look at Avanti, Avanti, we have talked about is all about preclinical sampling as fast as it can for these clinical programs. And you will see evidence of that through the sales CAGRs that we are picking up with that. And they are the sort of preeminent research company for that. And then the plan is, obviously, as they scale up and go through clinical programs, we will capture that in our manufacturing facility. So, we are very pleased with the performance there. And then thirdly is solid. It starts slowly, but it only starts slightly because it’s – two things is a lot of the distribution – they had a lot of distributors that were sitting on a lot of stock. So, revenues were slow to come, whilst they were running down the stock. But we have repositioned some of their products. It’s fair to say. And the big area of opportunity for us is in ceramides near term. We have a very big pipeline for ceramides. Ceramides goes through all aspects of beauty, in skin and hair. So, we will take ceramides to the top of skin care through, but we will also take ceramides to hair care and you are starting to see that. So, there will be some new launches, patent protected launches from Croda coming out there. So, I mean ceramides will drive the near-term performance and then you have got the first business, which is likely to take a little bit longer because it’s into pharmaceuticals and drug delivery, and that will take a little bit longer, but we are getting good growth there, but the – so ceramides first and phospholipids coming after that.
David Bishop: I have just got two quick questions from the webcast, and then I think we are up-to-date with the questions that have come in online, and then we will go to Charles. So, the first question is, is there any H1, H2 seasonality in your guidance, any waiting?
Steve Foots: Yes. No, we would expect just a normal delivery now for Croda back to normal. So, there is no second half weight into this. We would expect to hit the ground winning this year.
Anthony Fitzpatrick: Yes. I think we – historically, we have seen quite a bias of more like 53%, 47% first half, second half. I don’t think we see it going quite that far, but it’s certainly first half versus second half weighted in terms of how we think about the year.
David Bishop: And the second question relates to margins of different technologies within pharma, given the capital that we have put down behind lipids in particular and excipients more generally. So, the question is, are they higher margin than life sciences as an average?
Steve Foots: Yes. I mean I think it’s fair to say you can see the Pfizer profitable, you can draw that out. It’s definitely probably not at that level, but it’s certainly not far away, and it’s above the average. But of course, we want to see the revenue start to come through with that, which is the priority about commercializing through preclinical. And obviously, so yes, the higher prices and higher margin, but we want to just see the projects commercialize is the most important thing.
David Bishop: Okay. Charles, and then we have got two more on the other side of the room.
Charles Eden: Yes. It’s a good clarification, Fitz. Just on the 20% margin you talked about for sort of recovered utilization. You are talking on the assumption nothing else happens, right? So, it is now an uplift from…
Anthony Fitzpatrick: All else being equal.
Charles Eden: From anything else like pharma, that’s not your medium-term aspiration, that’s just wanted to clarify on that.
Anthony Fitzpatrick: We are just trying to get – to give you a sense for what the re-leverage effect is just for those sites. We could imagine that, that would drive through, but there is more to be done to then drive incremental margin.
Steve Foots: Just to add to that, there is probably – there is a few levers that we are pulling for margin. That’s one of them. But look, the utilization rate is not alone will not get us faster to 25%, they will get us to 20%. Clearly, revenue, quality revenue growth is going to get us there. Cost control and cost management will get us there. And then the mix improvement in the business as we drive through to luxury, and premium, and pharma. So there is probably four levers, and all of those will help to get there. But I think all we are calling out is on that one piece. That’s one stepping stone, big stepping stone to get back, but there is others as well.
David Bishop: Charlie, from the front row.
Charlie Bentley: Great. Thanks. Charlie Bentley from Jefferies. So, just a clarification, just on the operating rates, that 69%, is that the exit rate as at Q4, is that the four quarter moving average, because I would have expected it to be maybe a bit higher than that, given the step-up in growth that you have seen in the second half in IS and in…
Steve Foots: Yes, it’s a good question. And as Fitz alluded to on the slide, because we have got multiple processes at each shared manufacturing asset and all of those have different optimized utilization rates. The utilization rate metric is directionally helpful, but it lacks precision, which is why we are giving you the moving average of the sales volumes. But you are right. The full year number for utilization across 2024 is in the high-60s. So, the exit rate is obviously higher than that by association.
Charlie Bentley: Okay. And then just secondly, just on crop. Steve, you are talking about the growth that you are seeing from emerging markets being a kind of a contributor on crop protection. I mean is that – should I read that to be just China? Is it just China, because the thing we are obviously seeing from the innovator perspective is that they are losing with…?
Steve Foots: Yes. I mean there is a lot. It’s not – I mean, Charles, it’s not just China. It’s India. It’s Indonesia. It’s Southeast Asia. And it’s actually quite weighted, but the point about China is you saw a lot of capital, CapEx investment go into generics in China that went in about ‘22 to ‘23. So, that’s playing out. And they have been on the market competing with some of our big customers. So, we are picking up some business there. Whether that continues in any shape or form, I don’t know, but there will be another you should see that like beauty care. Some of these big beauty care players now are on the global stage of ProAir [ph] cans. There is one or two crop companies that are starting to do that come in. The jury is out as to whether or not they become established or not. And I think we will watch that, but we can obviously pick some business up with those as well. But I suspect, over the next year or 2 years, it’s back to a normal. It will be– they will continue to grow, but the big growth for Croda will come from the big four just getting back to a normalized trading environment.
Charlie Bentley: Great. And just very finally, just on that – I guess the dynamics in crop as they – as the year ended and into the start of this year, I mean are you seeing any kind of increased urgency from customers to order given concerns about our supply chain, tariffs and so forth?
Steve Foots: Yes. I mean we looked at that certainly before Christmas, we thought, if anything, you might see in the industry, not just a Croda thing that people are playing games with getting ahead of the tariffs. We haven’t seen that, so I am seeing that in our environment and continue not to see that at the moment. Who knows where tariffs are going to be in the end. But I think when we do our sort of review of tariffs and the likely Trump execution of tariffs, which is relatively limited for Croda, because most of our revenue – 70% of our revenue generated – of the revenue that we make in America, 70% of it is from American assets. So, the only trade flow that we are looking at is about £100 million of revenue from the UK and Europe into America. So, then that’s where the tariff is 3%, 5% as more than that, we can deal with that because by definition, 35% of that is a protected product. So, I think we see that as a – we will just manage that if that comes along. But yes, but there is – we don’t see any in the order book, any games being played because of that. I think if anything, what you are getting back to is a normal. The good thing is a normal established visibility for Croda pre-pandemic levels for most of our markets. So, four weeks to six weeks is not only what we see. So, we have had that for most of the year. We just need crop to come back further and we will get that in life sciences. So, we think – we view that as encouraging.
David Bishop: Okay. And then final question from Ranulf.
Ranulf Orr: Yes. Thanks. Very quick, can you just break the flavors and fragrances like-for-like growth down just into price and volume, please?
Steve Foots: Yes, it’s mainly volume. All of it, volume. Price is positive, but the vast majority of the growth came from volume. Yes, they are winning share.
David Bishop: No more questions, Steve.
Steve Foots: Great. Well, thanks very much everybody. And we will see you on the call in April, not all of you, but some of you hopefully. Thank you.
Anthony Fitzpatrick: Thank you.